Operator: Good morning Ladies and Gentlemen and welcome to Citi’s second quarter 2008 earnings review featuring Citi Chief Financial Officer Gary Crittenden. Today’s call will be hosted by Scott Freidenrich, Director of Investor Relations. We ask that you hold all questions until the completion of the formal remarks at which time you will be given instructions for the question and answer session. Also as a reminder this conference is being recorded today. If you have any objections, please disconnect at this time.
Scott Freidenrich: Thank you all for joining us. Welcome to our second quarter 2008 earnings review. The presentation we will be going through is available on our web site at citigroup.com. You may want to download the presentation if you have not already done so. The financial supplement is also available on the web site. Our Chief Financial Officer Gary Crittenden will take you through the presentation. We will then be happy to take any questions you may have. Before we get started I’d like to remind you that today’s presentation may contain forward-looking statements. Citi’s financial results may differ materially from these statements so please refer to our SEC filings for a description of the factors that would cause our actual results to differ from expectations. With that said let me turn it over to Gary.
Gary L. Crittenden: Good morning everyone. Thanks very much for joining with us. Please turn to the Slides that are now available to you on your web site. Slide 1 shows our consolidated results for the quarter. Similar to the first quarter this quarter’s results were driven by two main factors, write-downs and losses related to a continued disruption in fixed income markets and higher North American consumer credit costs. To summarize our second quarter results, net revenues declined 29% driven by the continued disruption in the fixed income markets partially offset by underlying growth in several of our other businesses. Sequentially net revenues were better by $5.6 billion. Expenses were up 9% year-over-year. Excluding the impact of acquisitions and divestitures and the press release disclosed items from both quarters, expense growth was flat versus last year. Sequentially expenses were actually down $128 million. We continue to make good progress on the re-engineering plan as we’re very focused on managing expense levels at the company. Credit cost was up by $4.5 billion over last year primarily due to higher net credit losses of $2.4 billion and a $2 billion charge to increase loan loss reserves both mainly in our North American consumer business. These factors drove a loss of $2.5 billion for the quarter or a loss per share of $0.54. The EPS is based on a basic share count of $5.3 billion. Sequentially we reduced our losses by $2.6 billion. On a continuing operations basis we had a net loss of $2.2 billion or a loss per share of $0.49. One important note on the payment schedule of our preferred dividends. The $6 billion of Series E preferred shares that we issued this quarter has a semi-annual dividend declaration schedule for the first 10 years. If dividends are declared on this Series as scheduled, the impact from preferred dividends on earnings per share in the first and the third quarters will be lower than the impact in the second and the fourth quarters. All other Series have a quarterly dividend declaration schedule. Slide Two, highlights the key positive trends of the quarter and I’m going to go into each one of these in more details in the presentation. First, sequential revenues have grown with and without the market-to-market losses in our securities and banking business. Second, the key drivers of each of our businesses continue to grow at levels consistent with the record second quarter of 2007. Third, net interest margin expanded very nicely this quarter, in part due to lower funding costs and also driven by substantial progress on reducing lower yielding assets. Fourth, expenses and headcount were down sequentially. Fifth, our capital position was strong and as I mentioned we made very good progress in reducing our assets, in particular our legacy positions including divestitures. Finally, we announced a number of new hires to strengthen our leadership team. To name a few these include [Sanjay Dias] the head of our mortgage business, Terri Dial who joined us this quarter as the CEO of the Consumer Banking North America and global head of Consumer Strategy, Richard Evans our new Chief Risk Officer for ICG, [Kate James] head of our global corporate communications team, Marty Lippert our Chief Information Officer and Chief Operating Officer for Corporate O&T, and [Mark Ruphay] the CEO and head of productivity for the ICG team. Slide Three shows our reported revenues in blue bars. For the last four quarters the area within the dotted lines is indicative of the marks that we’ve taken in the securities and banking business. Adjusted for these marks our revenues have continued to grow sequentially since year-end 2007. In fact this quarter our revenues were about the same as they were in the record second quarter of 2007. In fact adjusted for the marks the first half of 2008 is only 1% lower than the record first half of 2007. Many of our businesses including cards in Asia, EMEA, Latin America and transaction services among others recorded double-digit revenue growth. Turning to Slide Four, this shows a five-quarter trend in some of the key drivers of our business. One key note on this Slide: Many of the drivers are showing a sharp drop off in the growth rates as acquisitions that we made last year have lapped in this quarter. In EMEA for example the [Legg] acquisition contributed between 21% and 29% to loan growth, between 22% and 34% to deposit growth, and between 6% and 10% of international cards purchase sales growth in the last four quarters. Similarly in Latin America Groupo Uno contributed between 11% to 15% to loan growth, between 9% to 12% to deposit growth, and between 1% to 3% to international cards purchase sales growth in the last four quarters. So in order to get an apples-to-apples comparison you’d have to adjust the historical numbers to reflect the impact of the growth rates of those acquisitions. In transaction services, third-party liabilities have declined slightly sequentially to levels consistent with the fourth quarter of 2007 following a substantial build-up of cash given market disruptions and a flight to quality. Year-on-year operating account balances grew 24% while time deposits were down 6%. This underscores continuing strength in our underlying business activities. We’ve seen a slowdown in our North American card purchase sales as we have tightened underwriting standards and where discretionary spending is declining and spending on essentials as gas and food is increasing due to higher prices. Finally, growth and investment sales and assets under management were affected by a slowdown in capital market activity in many regions particularly in Asia. Before I move on let me give you a few examples of key successes in the quarter that are not included in the numbers that I mentioned above. For example we advised Time Warner on its separation from Time Warner Cable in a $45 billion transaction the second largest separation in the media space. We had a lead role in a $20 billion Rupee bond for Tata Steel, the first private Indian company to issue unsecured domestic debt in meaningful size and recorded India’s largest ever pure corporate bond issue and a number of other very compelling wins. In transaction services we’ve had significant wins in the first six months of this year totaling over a billion dollars and in the cards business we renewed our coveted partnership with American Airlines. Slide Five shows the nine-quarter sequential trend in that interest margin for the company. Net interest margin for the quarter is at 3.18% up 34 basis points sequentially and 77 basis points over the prior period. The primary driver of this improvement is from significantly lower funding costs driven by deposits and Fed funds which is reflecting the benefit of the Feds rate cuts. The full impact of the January and March cuts and the two-month benefits from the April rate cuts are manifesting themselves in the current quarter’s net interest margin. In a sequential quarter comparison total assets were down by $99 billion this quarter with approximately two-third driven by a reduction of legacy assets. Consumer and corporate loans, and trading assets were all down significantly. Obviously to the extent to which we benefitted this quarter was highly dependent on the rate cuts in the first and early parts of the second quarters. Our ability to continue reducing low-yielding assets will depend on the liquidity we have in the market. Slide Six shows the trend in our expense growth. Expenses for the quarter grew 9% versus last year. The key components are: (1) 4 percentage points from acquisitions and divestitures. (2) 3 percentage points from $446 million in repositioning charges related to a number of activities such as headcount reductions and brand closings including an expected reduction in force of 2,900 people in addition to the expected reductions of 13,200 that we have announced over the last two quarters. We will continue this process as we make progress in our productivity and re-engineering program. (3) 2 percentage points were accounted for by $300 million of a litigation reserve release that took place in last year’s second quarter. That results in business as usual expenses being flat in a year-over-year comparison. Foreign exchange contributed 3 percentage points to our expense growth and is reflected across the categories that I just mentioned. Sequentially in spite of the higher activity levels in most of our businesses that I described earlier expenses declined for the second quarter in a row and we were down 1%, evidence that our re-engineering efforts are taking hold. A word on our efficiency ratio. On Citi Day we showed you that our first quarter efficiency ratio adjusted for the disclosed security and banking marks and press release disclosed items was 62% and that our target two or three years out is 58%. After making the same adjustments in the quarter the efficiency ratio has stayed at 62%. However, further adjusting the impact of the net loss from the mark-to-market on the mortgage servicing right and related hedge which I’ll discuss later in the conversation this morning our efficiency ratio would have been at 60%. Slide Seven shows the trend in our headcount growth. The graph indicates that we have significantly slowed the year-over-year headcount growth from the 12% to 16% range last year to 1%. This 1% growth was primarily driven by acquisitions net of divestitures. This quarter’s repositioning charges relate to nearly 3,000 headcount reductions. In the last three quarters we recorded cumulative disposition charges of approximately $1.6 billion relating to approximately 16,000 heads. Of that 16,000 almost 7,000 have already been reduced from our headcount with the remainder expected to be realized over the next 12 months. Since the end of the quarter headcount has come down by another 2,500 due to the closing of the CitiStreet divestiture. Year-to-date that brings our net headcount reduction to 14,000. Once the CitiCapital and German retail banking transactions close, headcount will be reduced by approximately an additional 7,000. Slide Eight shows the historical trend of our asset balances on the left and a number of our key capital ratios on the right. As the left-hand graph shows, we added over $470 billion in assets from year-end 2006 to the third quarter of 2007. Since then we have reduced assets by over $250 billion in the last three quarters. As the graph on the right shows, all of our capital ratios declined during 2007 driven primarily by acquisitions, organic asset growth, and the negative earnings impact of the fourth quarter. This quarter due to additional capital raising and the diligent management of our balance sheet our Tier 1 capital ratio was 8.7% well in excess of our internal target. The TCE ratio was 6.9% also in excess of our internally-stated target of 6.5%. In the last four quarters we have added $10.4 billion net to our loan loss reserve levels. In the last three quarters we’ve added approximately $50 billion to our capital base through capital raises. Both of these actions combined have strengthened the balance sheet of the company. The total allowance for the company currently stands at $22 billion and total capital including Tier 1 and Tier 2 was $150 billion. Further strengthening our balance sheet is our ongoing effort to reduce assets. As I said, this quarter we reduced assets by $99 billion and made particularly good progress in reducing legacy asset positions as is shown in the information that I described earlier. Just a week ago we announced the sale of our German retail banking operation to Credit Mutual for approximately $8 billion in cash. The closing is scheduled for the fourth quarter of this year. With an estimated gain of approximately $4 billion this transaction is expected to add approximately 60 basis points to the Tier 1 ratio on a pro forma basis and would be added to the numbers that I described earlier. This transaction is evidence that our international franchises are coveted and that the valuations of these franchises even in the most developed markets are substantially different than the current valuations of the US market. We talked to you about asset productivity at Citi Day and we set a target of approximately 7% two to three years from now at which point the majority of the legacy asset portfolio is targeted to be wound down. Excluding the disclosed marks in securities and banking and the press release disclosed items the asset productivity for the company was 4.9% this quarter versus 4.5% in the first quarter. Slide Nine shows a number of ad items which negatively impacted the results in the quarter. First, net credit losses were higher by $2 billion and we recorded a $1.8 billion in incremental charges to increase our loan loss reserves in the consumer banking and card businesses with the majority of that being recorded in North America. Second, a $740 million net loss resulting from mark-to-market on the mortgage servicing right and its related hedge. Third, a $3.5 billion write-down in credit costs on subprime related direct exposures in our fixed income markets business. This is a significant sequential improvement in the amount of write-downs as we continue to lower our risk positions on our subprime exposures. Fourth, $2.4 billion in the credit market value adjustments related to our monoline exposure. On the January 19 call I had mentioned that based on the current spreads at the time of the call we expected the credit value adjustment of a similar size to the first quarter. I had also said that with volatile spreads this could change significantly before we close out the quarter. That is exactly what happened. monoline spread widened substantially in the last few days of the quarter contributing to a substantially larger credit market value adjustment than we recorded last quarter. In addition the market value direct exposure to monoline increased due to the decline of the value of hedges. This also contributed to the increase in the credit value adjustment. Additionally, $428 million in net write-downs on our highly leveraged finance commitments were recorded in the quarter. I think I might have misstated the date on which I did the Mike Mayo call earlier this quarter. It was June 9. On Slide 10 we have the description of our cost of credit. It shows the year-over-year growth components in our total cost of credits and the key drivers within each component. The total cost of credit increased by $4.4 billion with $2.4 billion driven by higher net credit losses and $2 billion driven by net incremental loan loss reserve builds. First, higher net credit losses were driven primarily by mortgages and cards in North America which together comprised $1.8 billion or 40% of the total NCLs in the quarter. In North America residential real estate net credit losses were higher by $876 million over last year. In North America cards net credit losses were up by $234 million reflecting higher net write-offs and lower recoveries. Delinquency levels were higher and the increase in write-offs reflected higher bankruptcy filings and the impact of customers that are delinquent advancing to write-off at a higher rate. The personal loan portfolio in North America also continued to deteriorate as NCLs were higher by $171 million over the last year. In the regions, higher NCLs were driven primarily by Mexico consumer and the India consumer banking portfolios. For both portfolios we’ve taken a number of actions to mitigate our losses. The net loan loss reserve coverage was higher this quarter versus the prior period by $2 billion. We had a total $2.5 billion net loan loss reserve charge primarily in North America mortgages and cards. Approximately 54% or $1.4 billion of the total billed within the North America residential real estate portfolio to reflect our estimate of the losses inherent in the portfolio as credit and economic indicators such as unemployment rates continue to deteriorate. With the addition to our reserves in our North American mortgage business we are at a 15.9-month coincident reserve coverage ratio for the residential real estate portfolio, 15.7 months and 16 months of coincident reserve coverage in our first and second mortgage portfolios respectively. In North American cards we added $334 million to our loan loss reserves. The build reflects recently observed trends which point to an expectation of higher losses in the near term. As I mentioned the rate at which delinquent customers advanced to write-off has increased. This is especially true at certain geographic areas where the impact of events in the housing market has been greatest driving higher loss rates. Bankruptcy filings have also increased from historically low levels. These trends and other portfolio indicators led to a build-up in the reserves for North American cards in the quarter. In North America we are also seeing continued stress in the personal loan portfolio where losses have been rising. We added $106 million in reserves for this portfolio. Turning outside North America, the three businesses which accounted for the largest reserve builds were Mexico and Brazil cards and India consumer bankings. ICG credit costs increased by $637 million. NCLs were higher by $394 million driven primarily by loan sales of $11 billion in the quarter. Loan loss reserves increased by $243 million net reflecting a slight deterioration in leading indicators of losses in the corporate loan portfolio. Slide 11 slows the consumer net credit losses and loan loss reserves as a percentage of loans for the North America consumer business in the top box and the same data combined for all of the consumer businesses outside North America at the bottom of the Slide. Looking at the top, the loan loss reserves and NCLs as a percentage of the consumer loan portfolio have risen sharply reflecting all of the factors that I’ve discussed. The largest contributor to the increase in North America is the consumer mortgage portfolio. As the bottom graph shows, the two credit ratios in international consumer are starting to increase. The increase is driven in large part by our cards business in Mexico and the consumer banking business in India. Turning now to Slide 12, the two grids at the top show the FICO and LTV distribution of our North American first and second mortgage portfolios. The two grids on the bottom show the 90-day delinquencies in each of the two portfolios by FICO and LTV distribution. You’ve seen these grids before and there’s been no material changes to this information. As you know, this data is shown at origination. While we generally can collect robust FICO data on a refreshed basis through credit bureau and other sources, LTVs are a significantly greater challenge as collecting home appraisals on each home in a large portfolio is expensive and cumbersome. Instead we have made an estimation of the LTV scores by using a mathematical model which takes into account home price depreciation in each geography in which we have exposure. Based on the geographic distribution of our portfolio we apply the relevant home price depreciation statistics and calculate a proxy for refreshed LTVs. By using this cross section of largely refreshed FICO scores and a model based refreshed LTV scores, \the grids would show the following. If you look at the last column on the first mortgage grid which has loans with FICO scores that are below 620, the percentage would move from 16% as is shown on the page to 23% as shown on a refreshed basis. The bottom right-hand cell of that grid is FICO less than 620 and LTV that is greater than 90%. That would stay at 6% on an origination and refreshed basis. For second mortgages, if you were to look at the bottom row of the grid which is LTVs that are greater than 90%, the percentage would move from 31% as is shown in the grid to 34% on a refreshed basis. The bottom right-hand cell, which is FICO less than 620 and LTV greater than 90, would move from 0 on an origination basis to 4% on a refreshed basis. On Slide 13 the top graph shows a historical trend of losses and delinquencies for the first mortgage portfolio and the bottom graph shows the same data for the second mortgage portfolio. The first mortgage delinquency trend shows the delinquency levels are well in excess of their 2003 peak. A further break-out of the below-620 segment which I’ve shown here in the yellow box indicates that delinquencies in this segment are over twice as high in the overall first mortgage portfolio. Similarly, delinquency rates in our second mortgage portfolio are at historically high levels particularly 90% or in the higher LTV segment as is shown in the yellow box. This segment has a delinquency rate that is also twice as high as the overall second mortgage portfolio. Losses in both the first and second mortgages continue to increase as housing prices decline, unemployment rises, and the economy in general continues to worsen. Our reserve actions for the mortgage portfolio primarily reflect the significant deterioration. Turning to Slide 14, it is the slide that I showed last quarter with the 20-year trend of net credit losses in our North American cards business as shown by the red and blue line. It also shows unemployment rates over the same time period which is the black line. Historically as you can see the two have been closely correlated. What I’ve added to this chart is the difference in NCL rates, that’s up in the top yellow box, for our retail partners versus the bank card portfolio which is shown in that box on the right-hand side of the chart. The mix of our card portfolio has changed substantially over time. Prior to 2004 when we acquired the Sears portfolio our cards business was primarily a bank card business which historically has had a very different loss characteristic from our retail partner cards. Since 2004 we have continued to add retail partner cards to our portfolio cards which have higher losses and very importantly higher yields than bank cards. At the end of the second quarter retail partner cards comprised approximately one-third of our portfolio. Given this mix, the historical correlation of unemployment rates and loss rates and the typical six quarter to eight quarter rise in losses during periods of rising unemployment, it is possible that we may see loss rates that exceed their historical peaks. We are watching these trends very closely and have taken a number of actions to address the increasing delinquencies and losses. We’ve reduced our marketing expenditures particularly on new accounts reflecting the current environment. At the front end, among other things, we have tightened underwriting criteria including initial line assignments particularly in certain geographies and where we can use mortgage data to enhance our decision-making capabilities. For existing customers we’re implementing a new series of limits and tighter criteria such as rising minimum score requirements for cash advances. We have added a large number of new collectors in the last year in the North America cards business and we have increased the calling frequency to delinquent customers. We also have expanded forbearance programs to early-stage delinquent customers and we are offering targeted settlement programs to those in late-stage delinquency. Many of our collectors are experienced higher-level representatives who are handling many of our delinquent customer accounts. Now Slide 15 shows the results of our global cards business. Managed revenues were up 18% due to 11% growth in managed receivables primarily in full priced loan balances, spread expansion, and gain from the portfolio sale. Expense growth was 9% with a 3 percentage point contribution from foreign exchange and 1% from acquisitions. The remainder is primarily related to volume growth outside North America and the cost of managing deteriorating credit such as adding collectors in North America. On a managed basis the business had 9% positive operating leverage. On a reported basis revenues were up 3% and included $170 million benefit from the sale of the portfolio. Excluding this revenues were down by 1% driven primarily by the impact of higher funding costs and higher credit costs flowing through the securitization trust in North America including a downward adjustment in the valuation of the [IO] reflecting the same trends. Higher managed funding costs are due to a significant widening of credit spreads in the asset-backed and commercial paper markets. Higher credit costs reflect deterioration in the consumer credit environment. The decline in net income results primarily from higher credit costs. Slide 16 shows the results in our consumer banking business. Revenue growth was just 1% but if you were to exclude the impact of Japan consumer finance, revenues were up 3% as is shown on the bottom of the page. Revenues in North America were affected by approximately $745 million in a pretax net loss resulting from mark-to-market on the MSR and related hedge. We hedge the value of the MSR to minimize earnings volatility and we did not achieve that objective in this quarter. The impact of the MSR and related hedge had a 9 percentage point impact on the reported revenue growth globally. There were two main drivers for this loss. The first piece relates to the value of the mortgage servicing asset. In a typical environment when mortgage rates increase, prepayment rates tend to slow as people do not pay off their mortgage as frequently. This results in a lengthening of the maturity of the mortgage portfolio and an increase in the value of the mortgage servicing asset. This quarter to the value of the MSR asset increased; however, as many of you know there continues to be significant liquidity in the market. The way in which this affects the mortgage servicing asset is we use internal models and third-party benchmarks as inputs to mark the servicing asset. Third-party benchmarks prove to be a constraint to further upward valuation of the mortgage servicing asset. The second piece is related to the hedge which is used to offset any changes in the value of the asset to protect against earnings volatility. As we went through the quarter extraordinary volatility in the markets caused us to continually rebalance the hedge as many of the assumptions diverged from market indicators. For example, the two-year to 30-year swap curve narrowed from 230 basis points at the end of March to 170 basis points at the end of April. The extreme volatility in the market and the continued recalibration of the hedge positions resulted in a larger loss than we would have otherwise expected. Historically we have not experienced this magnitude of divergence in our hedge business and in the mortgage servicing write asset valuation. The loss on the hedge combined with the depressed value of the servicing asset resulted in a $745 million net loss on the mortgage servicing asset and related hedge. Expenses were up 12% with foreign exchange contributing 4 percentage points and acquisitions contributing 2. The remaining expense growth relates to continued investment spending and spending on managing credit costs. Excluding Japan consumer finance we added 114 branches net in the last 12 months. In our residential real estate business in North America we’ve added over 750 collectors in the last 12 months. Net income was affected primarily by higher credit costs in the North American residential real estate business, India consumer banking, and net loss resulting from mark-to-market on the MSR and related hedge. Slide 17 shows results in our securities and banking business. Revenues were $539 million versus a -$7.3 billion last quarter. We reported a net loss of $2.7 billion versus $7.1 billion a quarter ago. Partially offsetting the severely affected business were strong results in certain areas. In equity markets the cash business in North America had its strongest quarter since 2001. Prime brokerage business generated record revenues driven by increase customer activity. North American derivatives had its second strongest revenue quarter in this quarter. Within fixed income markets the interest rate and currency trading business posted record revenues as volatility in interest rates drove strong results. The commodities business also posted record revenue driven by historic volatility in leading commodities such as oil and natural gas as well as strong activities in the power sector. Expenses increased by 6% versus last year. Excluding the $257 million from this quarter’s expenses related to repositioning and a $300 million benefit from a release of a litigation reserve related to the WorldCom research matters in last year’s second quarter, expenses were actually down by 6%. Lower compensation costs in securities and banking were offset by higher costs from acquisitions and foreign exchange. We continue to focus our efforts on realigning certain of our businesses. This effort is imbedded in our current re-engineering plans. As a result there was a headcount reduction over 1,900 in securities and banking this quarter. Credit costs in securities and banking were up $632 million versus last year. NCLs were higher by $386 million due to loan sales as we focus on reducing assets on our balance sheet and derisking the portfolio. Loan loss reserves increased by $227 million net reflecting a slight deterioration in the leading indicators of losses in the corporate loan portfolio. Net income was -$2.7 billion driven by marks and write-downs in the business. Slide 18 shows the write-downs taken against each category of the direct subprime exposure. The total write-downs including related higher credit costs for the quarter were $3.5 billion as shown towards the bottom of the slide including $324 million taken against the lending and structuring positions of $6.4 billion. With the lending and structuring positions the CDO positions are virtually entirely written off. Moving to the top of the table we recorded a $3.2 billion write-down against the net super-senior direct exposure of $22.7 billion shown in the middle of the first column. We started the quarter with a total exposure of $29.1 billion shown at the bottom of the first column. As to the $22.7 billion of net super-senior direct exposures and the associated $3.2 billion write-down, these exposures continue to be subject to valuation based on a discounted cash flow methodology other than liquidations which I’ll discuss in a moment. As to the discounted cash flow methodology, it remains consistent with what we did last quarter which I described in detail on the last earnings call and then I would refer you to that information. There has been one change in the inputs in the model which are worth noting. The HIPAA numbers that we use in our valuation methodology numbers for this quarter have changed from the last quarter and now reflect a cumulative price decline from peak to trough of 23%. Our assumptions reflect price declines of 12% and 3% respectively for 2008 and 2009 with the remainder of the 23% decline having occurred before the end of 2007. During the quarter we initiated two CDOs, we liquidated two CDOs that were marked at $919 million at March 31. We liquidated these CDOs close to their marks at the time of liquidation. The aggregate decline in value and loss on liquidation is part of the $3.2 billion reported in the second column on Slide 18. The liquidation proceeds are included in the $1.5 billion of other reductions in the third column of Slide 18. In connection with the liquidations we purchased a portion of the liquidated securities and have been managing and selling these assets in our trading books. As of June 30 we held $319 million of these securities in our trading books. As to the $2.4 million incremental loss taken with respect to the credit value adjustment with hedge counter parties we’ve now taken $4.9 billion in cumulative credit value adjustments related to our monoline exposure over the last three quarters. The market value at direct exposure to monoline increased from $7.3 billion to the end of the quarter to $8 billion at the end of this quarter. Slide 19 provides you vintage and ratings data for each of the exposure types. We showed you this table last quarter and as well the distribution here has remained generally consistent. Let me highlight a couple of changes. First in the ABCP category there has been a shift in ratings in the 2005 vintage where the AAA to AA tranche moved down from 31% this quarter to 27% this quarter and the BBB or below tranche moved up from 3% last quarter to 7% this quarter. Second, in the High Grade category there has been a shift in the ratings to the 2006 vintage where the AAA to AA tranche moved down from 33% to 22% this quarter and the BBB and below tranche moved up from 40% last quarter to 52% this quarter. The extent of this shift in the 2006 vintage continues to reflect the point that I made last quarter which is that we view our ABCP tranche actions where most were issued between 2003 and 2005 to be of a higher credit quality than later vintage High Grade asset backed CDOs. Let me remind you as Brian said on Citi Day that our High Grade and Mezzanine positions are largely hedged through positions in our trading books. Slide 20 provides more detail on four other major drivers of our negative results in securities and banking. We showed you this slide last quarter so let me cover it quickly. For highly leveraged transactions, on the top left our commitments for highly leveraged transactions totaled $24 billion at the end of the quarter with $11 billion funded and $13 billion in unfunded commitments. During the second quarter we had a $428 million pretax write-down on these commitments. In Alt-A mortgages we were down to $16 billion this quarter. Of that $16 billion we have a $4.3 billion mark-to-market portfolio where marks for the quarter were $193 million net of hedges. The remaining $12.1 billion is held as available for sale securities in which we recorded $132 million impairment charge in the quarter. As the rough graph on the bottom left shows our commercial real estate exposure is split into the same three categories we showed last quarter. Excluding interest earnings we recorded a $545 million write-down net of hedges on the portfolio subject to the fair value assessment. Finally, on Auction Rate Securities at the second quarter we held ARS securities with a par value of $6.9 billion in our inventory down from the peak of $11 billion in mid-February. After accounting for a gain of $197 million this quarter, the inventory stood at $5.6 billion as is shown on the chart. Turning now to Slide 21, in our global transaction services business revenues increased 30% to a record $2.4 billion driven by higher customer volumes, stable net interest margins, and the acquisition of Bisys Group which closed in August 2007. Key revenue drivers continue to grow at strong double-digit rates. Foreign exchange contributed 4 percentage points to revenue growth and acquisitions contributed 5 percentage points. Expenses were higher by 22% well below the rate of revenue growth as we continue to invest in our global platform. FX contributed 4 percentage points and acquisitions 9 percentage points to the expense growth. Outside North America every region had double-digit revenue and net income growth and record revenues and net income in Latin America and in EMEA. Slide 22 shows our results in global wealth management. Revenues were up 4% primarily driven by Nikko. Fee-based and recurring revenues were up slightly as higher banking and lending revenues were partially offset by lower investment advisory revenues. Transactional revenues were down due to a slowdown in capital markets activity particularly in Asia. Assets under fee-based management were down 8% due mainly to the adverse impact of market action. Revenues in the private bank were up 2% reflecting strength in lending and banking products. Expenses were up 7% driven primarily also by Nikko. Headcount in [inaudible] is down by approximately 280 this quarter. Net income decline due to an absence of a $65 million APB 23 tax benefit in last year’s second quarter, lower revenues in Asia, and higher credit costs in North America. Finally, on Slide 23 we show our results in corporate and other. Revenues were down significantly due to two major items. First, higher funding costs related primarily to an increase in the deferred tax asset, hedging and our enhancement of our liquidity position. And second, inter-company transaction costs related to the capital raising that we’ve done and to the sale of CitiCapital. The offset to this was recognized as revenues in the securities and banking business. Net income reflects tax benefits during the quarter. So to wrap up, let me first address the area where we continue to see risks. The fixed income markets continue to be disrupted and investors remain wary resulting in continued illiquidity in many product areas. However, as you have seen we are aggressively managing our position to reduce our exposures. You’ve seen our positions come down resulting in sequential improvement in our financial results. We have exposure to monoline issuers, the commercial real estate industry and to all A mortgages in our securities and banking business. Our exposures in each of these categories have generally declined as well. With respect to expenses, we look to the second half of the year, the year-over-year comparisons will be challenged by the fact that compensation costs in last year’s second half were low due to the market disruption that took place during that period. While there’s still uncertainty related to the markets, this is an important factor to consider. Credit costs in our consumer business may continue to rise through the year as I mentioned earlier. You have seen us build reserves and if trends continue such that the rate at which delinquent customers go to write off increases, we believe that consumer credit costs could have a meaningful impact on results for the remainder of the year. And, as we wind down our Japan consumer finance business, the situation there remains difficult. We talked to you at Citi Day about the annual earnings power of this franchise and said it was over $20 billion two to three years from now and let me give you a sense of what we’re doing to get there. So, looking at this quarter’s results from continuing operations, we expect the impact of two items will likely reduce over time resulting from a less disrupted market environment. First, the marks that we recorded in our securities and banking business as I discussed earlier and second, credit costs particular in North American cards in the consumer and banking business. Net interest margin was up very nicely both sequentially and year-over-year. Expense management is taking hold as our reengineering efforts gain momentum and we’ve made very good progress on reducing our headcount. Additionally, we continue to focus on achieving our asset productivity targets that we laid out on Citi Day and this quarter assets were down by $99 billion. We’re particularly pleased in the reduction in our legacy asset portfolio. We remain diligent in managing our capital and allocating it to our highest return and highest growth opportunities. Overall, the sequential improvement that we have seen as we have cut our losses in half in the first quarter from the fourth quarter and now in half again from the first quarter until now, our franchise remains strong and delivering growth to the company overall. We also strengthened our leadership team by announcing a number of new key hires. That concludes our financial review of the quarter. Let me now turn the time back to the operator for the question and answer period.
Operator: (Operator Instructions) Your first question comes from Glenn Schorr – UBS.
Glenn Schorr – UBS: Maybe just a drop more color on the net interest margin, I looked back on the comments from last quarter and wasn’t expecting, obviously, such a huge big jump and neither was I. How much relates to – you mentioned the rate cut versus the balance sheet pruning and getting rid of low yielding assets. Can you give us just a little bit of a rating there and then maybe that will help us give our guesstimates going forward.
Gary L. Crittenden: Yes, most of it was related to the rate cut. So, if you look at the gross yields, the gross yields actually for the entire company were pretty flat in the quarter. There were puts and takes in that. There were some things obviously that positively impacted that, the reduction in some of the legacy assets offset by some deterioration in yields in some other categories. But, most of the improvement that we saw in the quarter was related to the cost of funds improvement and what happened obviously was that it rolled in gradually as we have come through the course of the year. So, we frankly didn’t expect quite this magnitude of impact in this quarter as well and obviously, sustaining the cost of funds benefit is related to the structural position that we have around our funding and how the Fed Funds levels perform over the next little while. So, obviously we’re at an attractive level now relative to many of the last several quarters but, a big hunk of that is related to the cost of funds improvement.
Glenn Schorr – UBS: On the consolidated balance sheet, not too much of a surprise but the OCI line is up maybe almost threefold in the last year, if you could help with the assets that are running through an OCI adjustment versus the once that were seeing actual losses on it? And, was anything actually impaired to the bank line this quarter?
Gary L. Crittenden: Yes, we did take some impairments. Off the top of my head I don’t know the exact number that we actually impaired during the quarter but we did impair some things that took place in the quarter. There is a FAS 115 impact in this line item, you know which obviously has to do with the AFS books that we hold as an organization. There is a FAS 113 impact from cash flow hedges that we hold. But, we carefully review this category obviously, each quarter and insure that the increases that result here, particularly in our AFX book relate to things that are temporary impairments, that are not other than temporary losses in the quarter. The aggregate amount of that, other than temporary was about $1.3 billion in the quarter obviously offset by other positives that went the other way that contributed to the roughly $650 million or so increase in OCI in the quarter.
Glenn Schorr – UBS: Then two last quickies is one, the BC debt on your books, is it all in the leverage lending commitment from Slide 20?
Gary L. Crittenden: I think for the most part. If we count – I want to make sure I’m answering your question right. When we think about our leverage loan portfolio here, we think about that as the leverage loan portfolio to financial sponsors. And, if that’s the definition, that’s the number that we’ve shown here in the earnings deck.
Glenn Schorr – UBS: And that’s not yet marked, right? Meaning it’s sitting on your books?
Gary L. Crittenden: Well, it’s a split. If you go to the chart that I had in the deck, let me just flip over to there really quickly. If you go to the deck, the good news is that we’ve taken it down by $14 billion in the quarter and we took just over a $400 million mark to make all of that happen. But, you can see the split between funded and unfunded. In the categories where it is unfunded, if we have a good sense of what the actual commercial relationship is going to be when the loan is funded then, we have to mark that loan even though it’s not funded. So, we would be carrying those at the appropriate value on our books now even if they’re not funded.
Glenn Schorr – UBS: Then this one is going to be impossible but, how’s the tax rate work when you have such a big loss? What happens?
Gary L. Crittenden: What happens is not as impossible as you might think. Most of the losses that took place, took place in high tax environments so the reason why you see a much higher tax rate on the losses than you would typically see on the company, on a blended basis in a kind of more normalized environment is you obviously take the tax against where either the loss or the income was earned and much of the loss associated with these particular categories were losses that were in high tax jurisdictions and that’s why you see the very high tax rate in the quarter.
Glenn Schorr – UBS: So the tax deferred asset will sit in mostly North America then?
Gary L. Crittenden: I think that’s generally true, yes.
Glenn Schorr – UBS: And that I’m guessing means you can eat through it and use it and have a lower tax rate in the out years pretty quick?
Gary L. Crittenden: It does. And, as you know, that has a very positive implication for Tier-1 capital as well.
Operator: Our next question is from Guy Moszkowski – Merrill Lynch.
Guy Moszkowski – Merrill Lynch: I was wondering if you could, just related to one of the prior questions, first of all tell us what percentage of the improvement in the net interest margin came from securities and banking versus the other businesses? And, related to that also, if you could maybe give us a little more granularity on the legacy asset or the total asset reduction of $99 billion? You said about two thirds is legacy assets, maybe you can give us the sense more for what those asset reductions were and then maybe the other $33 billion or so what type of assets were they?
Gary L. Crittenden: On the first question I’m afraid I can’t provide more color on that, I don’t have it and we typically don’t split out the improvement between the various product lines. I can give you more color on the asset reductions though and let me just turn to that real quickly and I’ll provide it to you. If you look at the major balance sheet categories, consumer loans were down by $26 billion, corporate loans were down by about $17 billion and trading account assets were down by $73 billion so those are some of the kind of major categories where we had overall reductions. Obviously in aggregate the reductions added up to about the $99 billion we talked about. As you walk through the supplement you’ll be able to see the categories in where we actually had primary reductions that were related to our legacy category, some of which I’ve already mentioned. Our leverage loan category for example, was down by $14 billion, our SIVs were down by $12 billion in the quarter, our residential real estate portfolio was down by $11 billion in the quarter and then as against these major asset categories we’re obviously making pretty good progress. In fact, here’s the way I would think about it. We said we had somewhere between $400 and $500 billion worth of legacy assets that we wanted to remove and that two to three years out we thought we would be somewhere below $100 million in total assets. So, we had to take out somewhere between $350 billion over the next two to three years in order to meet our targets. In this quarter we took our roughly 67% of $99, somewhere in that range so say $65 billion of legacy assets and so we are well on our way against that roughly $350 billion target over the next two or three years of reducing that asset base down. Now, if we are fortunate and markets become more liquid we’ll obviously move more aggressively against that. But, his was I think a very nice down payment on our asset performance in the quarter and just to put things in perspective a little bit we peaked in terms of total assets at $2.36 trillion in the third quarter of last year and from that peak we’re now down $257 billion in total assets to $2.1 billion. So, there was a very significant reduction not only in this quarter but in future quarters. One other thing that we don’t typically embed in the financial statements is that the risk capital actually went down as aggressively in fact, slightly more than we actually had a reduction in GAAP capital turning the quarter and the good news is that actually has freed up more hybrid capacity for us as an organization. So as our risk capital has come down it has provided additional hybrid capacity for the company going forward and so there’s all kinds of knock on benefits associated with managing our assets better, obviously. It improves our liquidity positions, it does really good things for our returns over the long haul, it increases the flexibility we have in terms of the way we manage our capital as an organization and all of that is reflected in this, what I think, very fine performance on the management of assets.
Guy Moszkowski – Merrill Lynch: You raise a very good point on the hybrid capital capacity, is that something you could articulate a little bit for us, how you think about that?
Gary L. Crittenden: What I can tell you is that as against each of the buckets, so you know there’s a 15% bucket that will be eventually you know put in place in the first quarter of 2009, a 25% bucket and a 50% bucket. As against each of those buckets in this quarter, we have outstanding capacity and the outstanding capacity that we have is not trivial compared to the total amount of capital that we have raised historically. So, although I don’t want to quantify it specifically for you, as our risk weighted assets have come down, we have freed up capacity here that provides additional flexibility for the company going forward.
Guy Moszkowski – Merrill Lynch: Can I ask a little bit about the Fin 46, FAS 140 exposure drag on the potential for having to on board more off balance sheet assets. Can you give us some range as to how you’re thinking about how that might affect you?
Gary L. Crittenden: Well, we obviously have looked at it in real detail and have a lot of internal involvement in the process of thinking through the implications of this. There are three primary things you have to think about as you think about a potential change in regulation. The first is, who has the primary responsibility for the assets? And, in our case the primary responsibility for what we currently talk about is the total VIEs that we have on our balance sheet. The primary responsibility for the majority of those assets would probably lay elsewhere. I think the best example of that is in our mortgage assets. Our mortgage assets at the end of the third quarter we disclosed as $517 billion and the majority of that, say more than 90% of that, the primary responsibility or the power over those assets would probably reside elsewhere. That’s kind of the first test you have to think about. The second question I think the FAS people and the SEC are grabbling with is what the timing of the implementation is going to be and it looks like it’s going to be spread out over time. There’s going to be some implications probably for asset backed commercial paper that happen earlier, credit cards are probably going to be a little later in the cycle and so the timing is important. Then, the third factor is what the capital rating is going to be. Although we don’t have, you know, any real detail on what that implies, today with asset back commercial paper there is very, very low capital weighting associated with that and it is unclear why an accounting change would result in a higher capital rating associated with those securities. So, as we look at it overall, we anticipate the largest impact is likely going to be in the credit card area that will have an impact on our Tier-1 capital. It will probably happen over time as the full implementation of that rule is not likely to happen for a while. But, we are really at a very early stage here. We’re at a very early stage in terms of thinking about what this is going to be. We’ll have a draft probably here in the next few weeks, we’re going to have an opportunity to make comments on that draft over a 60 day time period and then the actual rules will be kind of issued as we go towards the end of the year. But, as we look at it in the overall scheme of things, we think the largest impact is likely to be against our credit card positions and that’s likely to be over a longer time period.
Guy Moszkowski – Merrill Lynch: Let me ask one more question which is going to be on global wealth management and the net flows which were quite negative, $11 billion net outflow from the combination of Smith Barney and the private bank. Where there any big lumpy movements there or was it just driven by departure of very productive FA teams, or what happened there?
Gary L. Crittenden: Well, we did have the increase that you talked about in the quarter and there wasn’t anything that was lumpy there in particular. This was a difficult quarter overall obviously in equity markets and we have a particular concentration of our equity markets in Asian markets. We’re very strong in the Asian markets and just to give you a little perspective on that, as you know, the Indian market was down double digits, I’m talking about now on a trailing 12 months basis, the Chinese market was down very substantially, I believe 28% on a trailing 12 months basis so there was pretty significant market action in the parts of the world where we have a very strong market position and that obviously impacted what our clients are doing with their investment dollars and we were impacted by that in the quarter.
Operator: Your next question will come from the line of Meredith Whitney – Oppenheimer & Co.
Meredith Whitney – Oppenheimer & Co: I had a couple of quick questions, if I tried to and I’m having difficulty because every number seems to be restated, but if I try to look for a run rate exclusive of write downs and exclusive of the tax benefit in the fixed income line on the securities and banking segment, can you help me out there in terms of what was the tax benefit for the quarter? And I obviously can get there net of marks.
Gary L. Crittenden: Are you talking about the tax rating in securities and banking?
Meredith Whitney – Oppenheimer & Co: You had said that the tax benefit had been reversed through the revenue line in securities and banking.
Gary L. Crittenden: No, I don’t think I said that. There are a couple of factors here, I think the only comment I made about the tax rate was the tax rate as it impacted the corporate and other account and in the corporate and other account we had a lower tax benefit than we typically would have because that tax benefit or implication had already been distributed to the business. But, I think that’s the only comment that I made.
Meredith Whitney – Oppenheimer & Co: Was there any other color that I should look in to for that line item?
Gary L. Crittenden: There were fees that were paid by the company on capital raises. Obviously our markets and banking business did our capital raising for us.
Meredith Whitney – Oppenheimer & Co: But that would be underwriting, right?
Gary L. Crittenden: Yes, they did the underwriting.
Meredith Whitney – Oppenheimer & Co: But that would be in the underwriting not the fixed income?
Gary L. Crittenden: Yes. So, there would be an implication associated with that. But, in the overall scope of the company, it’s a very, very minor factor.
Meredith Whitney – Oppenheimer & Co: Then just some clarifications on the marks. I know you stated this but can you go over again how you came to mark some of your positions particular the mark up in [inaudible] and some of the other marks because if I took some of the just correlative, and I know you’re using Rueben’s data, correlative ABX data either AAA or BBB, I come up with different numbers. And then particularly with the monoline, I would love some more elaboration of how you came up with the monoline mark and that’s it.
Gary L. Crittenden: As you know, we extensively reviewed our methodology last quarter about how we mark the CDOs so I won’t reprise all that but I’ll give just a very brief summary. We obviously look at the credit ratings associated with each of the underlying structures and then we apply a discount rate associated with the cash flows associated with what we expect the housing price reductions to be in the future. So, as one thinks about this, there’s really two very important factors, one factor is what is the housing price decline going to be? And, companies make different assumptions about those. Some companies, for example, have a higher housing price reduction assumption, they might assume something like 30% but then they would discount those cash flows at a risk free rate. We have a different approach, we take – right now we’re using [K Schuler] and then we modify that on a forward projection basis based on the input of our internal economics team. We take that 23% and against that 23% we apply a very high discount rate that is associated with either the COO spread or the ABX spread. It’s really the combination of those two things that you have to add together to have a complete understanding of how effectively the securities are marked. So, once again, in this quarter as the spreads have widened we have increased our assumption about the deterioration in housing prices that’s had an impact on our financial performance. Now, I think it’s important to say the housing price reduction assumption is much less leveraged then the spreads because the housing price reduction is already quite large a 1% increase or 2% increase or 3% increase really doesn’t make a whole lot of difference in terms of the total mark. What is really quite critical is what happens with spreads over time and as you know, during the course of this quarter there was a widening of spread and as a result of the widening of the spreads you saw the marks that we took in the quarter. Although, importantly those marks were sequentially reduced. I might also add that our team has done an excellent job I think at managing the exposure as Brian said during the course of the Citi Day, has done an excellent job of managing the overall exposure that we have on the Mez and high grade CDO portfolios so that those positions are largely hedged at this point. So, the team’s done a nice job. On the monoline exposures that we have, we have a very simple process there. The simple process that we follow is that we look at their spreads and so it’s very, very easy. We have a well disclosed position in each of the monolines, we take whatever their spreads have to do, we discount the value of the contract that we have due to us from the monolines based on what those spread changes are and we calculate the position. What you saw happen there was exactly what I described on the call so when I did a call three weeks or so ago and I talked about the fact that our monoline exposure was expected to be flat, that was before the downgrade that happened. There was a downgrade that took place for a couple of the monolines in the last couple of weeks of the quarter that resulted in widening of the spreads and as a result of the widening in the spreads there was also an impact on the valuation that we have. In terms of the ARS, some parts of that market became a little more liquid during the course of the quarter so we were able to get good benchmark data on that. We actually had some of those assets move from Level-3 to Level-2 and as those movements took place we were able to do a bit of a revaluation there so we actually had I think a $200 million benefit in that category. That’s a bit of a walk through the major exposures but that’s essentially where we are marked as we finish the end of the second quarter here.
Meredith Whitney – Oppenheimer & Co: Gary, just for a point of clarification, can you remind me your peak trough how price decline assumptions were in the first quarter and what they are now?
Gary L. Crittenden: It was 20% in the first quarter and 23% now.
Operator: Our next question comes from Michael Mayo – Deutsche Bank Securities.
Michael Mayo – Deutsche Bank Securities: You reported a loss for the quarter, you’re selling off assets to improve capital, why not just cut the dividend? And, I guess embedded in that question is your expectation for future write downs?
Gary L. Crittenden: Well you know Mike, we’ve tried to talk about this a fair amount but the way we think about this is based upon what we think the long term earnings performance of the company is. And, as I finished my comments today, I tried to go back and talk about the $20 billion we talked about at Citi Day and how we think about the ongoing operations of the business relative to the current reported performance. If you kind of step through what happened through the course of the quarter, we had revenue that was roughly equivalent, away from the marks now, revenue that was roughly equivalent to the best revenue performance that we’ve had in our history, the two quarters in the middle of last year. We had strong organic growth across most of our categories and I stepped through each of those categories. Loans were up nicely, deposits were up nicely, good momentum in GTS, could underlying growth in each of those categories. We’re doing a good job on the management of our expenses. Sequentially our expenses are down, our headcount is improving. In fact, it’s kind of interesting I did some quick math here on our productivity of headcount and if I look at the fourth quarter and just look at the number of heads we had and what our reported revenue would have been away from the marks, we had annualized revenue per head of about $262,000. By the time we got to the second quarter because of the reduction of heads that we’ve had and because of the management of the expenses that number has improved by about 8% to $285,000 per head. So, there’s been good improvement in productivity of our team as headcount has come down and we’ve been able to constrain expense growth. Credit, obviously continues to be an issue that we’re actively managing. Our credit line items, they may deteriorate in the future as I’ve talked about on many different occasions but we have a sense of the credit card cycle will look like and I disclosed that pretty clearly in the material today. And, we’re obviously, aggressively reserving for the potential deterioration for residential mortgages. So, if you wrap all of that up, I don’t think anything is different about the way we felt about the underlying earnings power which [inaudible] clearly stated was about $20 million, we don’t feeling anything different about the earnings power today than we did at the time of Citi Day. And, obviously our dividend is sent in the context of what we believe the fundamental earnings power of the franchise to be.
Michael Mayo – Deutsche Bank Securities: Then a related question, in the past you’ve said you’re taking these write downs even though cash flows are still fine. Is that still the case or has that changed?
Gary L. Crittenden: No, for the asset backed commercial paper which is the category that I’ve always talked about, the $14.2 or $14.4 billion, for that category again, I assembled the team two nights ago and we had a very detailed discussion and there has not been a single American dollar cash flow loss against the asset backed commercial paper as of today. So, I believe the magnitude of the mark down there is roughly $10 billion that’s taken place over the course of the last couple of quarters and as we sit here today there’s been no cash flow loss in terms of the remittances. Now, I rush to add that that is not a forecast for the future, it’s possible that could change but, as of now because of the cash flow tiering, the underlying collateral that we have there, there has not been any cash flow loss associated with that.
Operator: Our next question comes from Richard Bove – Ladenburg Thalmann & Co.
Richard Bove – Ladenburg Thalmann & Co.: I noticed in the past six quarters that your revenues X marks are running between $25 and $26 billion a quarter and it would appear to pay the dividend you need roughly about $2 billion in net income per quarter, a little less than that but somewhere in that rough range. I’m wondering given the budgeting process at Citigroup, when you think Citigroup is going to reach that level on a consistent basis.
Gary L. Crittenden: Well obviously Dick, I can’t provide a forecast for you. We have, I think, very good confidence about the objectives that we talked about for Citi Day and at Citi Day we kind of talked about a two to three year timeframe in which we would make a number of things happen and those things related to revenue growth rate, they related to how we would manage our assets and they reflected the efficiency ratio that we would achieve. If you combine all of those things then obviously we would solidly be in the category where that dividend would be well covered by the earnings of the company. So, without giving a point estimate of when we think that is going to happen, I think we have been as clear as we could be about where we think the trajectory is headed over the next two to three years and I think our job here is to demonstrate sequential improvement each quarter in the direction of the objectives that we set for you all on Citi Day and then to report how we’re performing against the objectives that we set.
Richard Bove – Ladenburg Thalmann & Co.: If you go two years without running a profit I think the control of the currencies requirement would suggest that you would have to cut the dividend. You’ve now gone three quarters with negative numbers so presumably you would assume if you’re not cutting the dividend that you’re going to break in to profit territory within the next two quarters. I would assume that is the case?
Gary L. Crittenden: Well again Dick, we really don’t make a short term forecast of any kind for what we think our financial performance is going to be.
Operator: Our next question will come from the line of James Mitchell – Buckingham Research.
James Mitchell – Buckingham Research: Getting back to maybe the fixed income trading results, and if I can normalize for all the write downs, it looks like, and maybe I’m crazy, it looks like the trading revenue might have been close to $6 billion run rate?
Gary L. Crittenden: I think you’re right. I mean, we actually had a very strong month of June in our markets and banking business and it wasn’t isolated. I did step across a few of the categories where we saw particularly strong performance but the month of June was a good month for us overall. Obviously we’re up against very large numbers from the prior year but generally it was a strong performance.
James Mitchell – Buckingham Research: It was dramatically better than even your record quarters. It was literally across the board? Any particular areas stick out?
Gary L. Crittenden: Well, there were a few that I mentioned. Let me just kind of go back and spite those out one more time. In the equity markets we had our strongest quarter since 2001, our prime brokerage business had record revenues that was all driven by increased customer activity. I said our North American derivatives business had the second strongest revenue quarter that its ever had. Within our fixed income business, our interest rate and currency trading businesses had record revenues. There was a lot of volatility in the quarter as you know, and that as was helpful for those businesses. Our commodities business posted record revenues. Again, there was a lot of volatility in oil and natural gas and strong activity that we had in the power sector and so we had a very good month in the month of June and that really did help the overall results in that business in the quarter.
James Mitchell – Buckingham Research: On the reserve side, you’re now at $22 billion?
Gary L. Crittenden: Correct.
James Mitchell – Buckingham Research: At what point does the law of large numbers start to come in to play? $22 billion is a large amount, I think on a reserve to loans basis you’re even higher now than where you were at the telecom crisis in 01 when you’re getting $0.10 on the dollar. So, how do we think about where reserves could eventually go?
Gary L. Crittenden: Obviously it’s a very good question. There’s a couple of things, we obviously would want to be able to see some type of topping of the exposures that we potentially have before we would stop the process of adding reserves if things are deteriorating. I think a good example of that, if you look at Slide 13 in our deck for the second mortgage category, if you look at the 90 day past due line, it looks as though the 90 day past due line is starting to moderate out in the later quarters. Now, we don’t know if that is a real moderation. If you go back one might argue that because of the incentive checks that have come that there’s been some improvement in the payments that have taken place. But, if someone were relatively unsophisticated they could say, “Gee, I’ve seen moderation in the second mortgage portfolio, maybe I can slow down on the reserving that I’m doing in that category.” We want to make sure that what we see is real improvement that is sustained and when we see real improvement that is sustained then we’ll begin the process of moderating this. But, I think if you take the two pieces together, if you take the additions that we made of the reserves of the over $10 billion and you take the additions that we made to the capital base, we really have done a lot to strengthen the capital base of the company. I really do think about those two things as working hand-in-hand to insure both that we can take advantage of business opportunities that come down the road as well as insure that we have the ability to whether difficult storms. So, for now we don’t see any real change to the policy that we’ve had but obviously as soon as we have conviction that that trend is moderating in some way we’ll be talking about it.
James Mitchell – Buckingham Research: I guess I understand that formulas dictate that if trends continue to worsen you have to add to reserves but I was just sort of questioning at some level, I mean that’s a pretty pro cyclical policy, at what point does just large numbers start to say, “Hey, we’re just going to start matching charge offs in the reserves on an absolute basis.” But, you’re saying not yet.
Gary L. Crittenden: Not yet, not yet.
Operator: Our next question comes from William Tanona – Goldman Sachs.
William Tanona – Goldman Sachs: [Jamie Diamond] was out there yesterday indicating that the prime portfolio was not doing so well and that you could even possibly see losses tripling from these types of levels. I just kind of wanted to get your thoughts in terms of how you kind of see your prime portfolio particularly over these next couple of quarters?
Gary L. Crittenden: The prime portfolio is obviously deteriorating, you can see that on page 13 in our deck. So, there was a pretty significant acceleration in both our NCL ratio and in our 90 day past due. We’ve seen no change in that trend whatsoever. You don’t see the same kind of dip on that line item like you do on second mortgages so from our perspective we have obviously reserved for the losses that we believe are embedded in the portfolio. But, to the extent that you see higher flow, higher deterioration in early delinquency buckets, we’ll continue to add to that reserve over time as necessary. And, it’s very difficult I think, as we sit here today to forecast exactly where that’s going to go. If I can compare that, the card portfolio on the next chart, we can look back over history and say, “Gee, we’ve been through cycles like this before and they have an average duration and they have an average amount of magnitude associated with the deterioration.” I think that’s harder to say in the overall mortgage portfolio. Now, having said that, the numbers that we work on are much more granular than the numbers that are shown on this page. We look at individual geographies, how individual geographies are trending. The entire country doesn’t move together, some geographies are deteriorating, some are improving a bit from where they were before and you have to take the overall aggregate to kind of get to the picture that we have here. We have a more nuance view of where this goes from the detail that we look at as we actually manage our credit. But, I think it’s safe to say that it would be difficult to project right now. It would be difficult for us to actually call a point where we think the peak will happen or the timeframe in which it will actually happen. What we’ve tried to do is to ensure that we have obviously prepared ourselves from a capital and from a reserve perspective to whether difficult numbers in this category going forward and to work very hard on all of the other measures of our business, the management of capital, the management of our expense so that in spite of how this comes as we go through the next few quarters, we’re able to deliver what our expectations are.
William Tanona – Goldman Sachs: Then I guess in terms of Slide 18, just so I understand, is the CVA that you took for the monolines specifically or is that all for just the ABS CDOs or is that across your overall monoline exposure throughout the firm?
Gary L. Crittenden: It was all monolines. So again, it was a very straightforward process. We simply look at how the spreads change on the monolines, we calculate the impact that has on the valuation and that adds to our CVA in the quarter and that was the $2.4 billion number that we reported.
William Tanona – Goldman Sachs: I guess I was looking more in terms of the actual product. Was that the $2.4 billion CVA for your ABS CDOs or was that across all of your other subprime and maybe municipal products as well?
Gary L. Crittenden: It’s all of the relationships that we have with the monolines. Now, I think it’s also probably fair to say that most of those relationships are in the CDO portfolio. But, it’s across all of the product lines that we have with those counter parties and we have a very detailed breakdown by counter party of the magnitude of the relationships in the 10Q so you can get a good handle on it by looking at the detail there.
William Tanona – Goldman Sachs: I was more just trying to reconcile the 10.5 at the beginning of the first quarter with the 9.8 and I guess just going under the assumption that that $700 million was just for the AVS CDOs of the $2.4. I don’t know if that’s the right way to interpret that.
Gary L. Crittenden: No, the 10.5 has never specifically had 100% overlap with the CDO category. That’s why we don’t just net it against those numbers so you can’t think about it exactly that way. It’s not 100% overlapping, that’s why we break it out and keep it as separate category. It is generally true but not 100% true.
William Tanona – Goldman Sachs: Then I guess just lastly in terms of BCE again, what percentage of your unfunded commitments actually is represented by BCE? And, I guess when would you expect to start to market that? And, I guess you know, could we expect or should we expect that unfunded commitment line would drop by that amount over the next quarter?
Gary L. Crittenden: So our unfunded commitment line dropped from $16.9 to $13 so it dropped by about $4 billion from the first quarter to this quarter. This does represent the exposure that we have to the private equity firms. That’s the way we think about this. These are the highly leveraged commitments that we have made to the private equity firms. Obviously, think about this in an economic way, we consider the current carrying value and the bids that we get for these particular names and we make a decision about whether we should keep it or sell it and that’s an ongoing process. So, in this quarter we happened to have a particularly good quarter across the entire patch of reducing our highly leveraged funding commitments down in total by $14 billion. But, we’ll manage that opportunistically, we’ll see how things play out and we’ll manage it opportunistically as we go through the next few quarters.
William Tanona – Goldman Sachs: Is the BCE all in that $13 billion I guess is kind of what I’m trying to get at?
Gary L. Crittenden: The answer is yes.
William Tanona – Goldman Sachs: So depending on the success of that marketing we would expect that to likely go down if you’re successful in terms of selling that stuff?
Gary L. Crittenden: Again, we’d have to see as we went forward. I misunderstood you, I thought in the beginning you had said PE, I thought you said Private Equity.
William Tanona – Goldman Sachs: I’m sorry, BCE.
Gary L. Crittenden: That was my mistake so I just misunderstood what you said. No, it would be included in that category and obviously that will be what it will be as we play through the next few quarters.
William Tanona – Goldman Sachs: And just in terms of understanding, in that stuff you are also marking to market the unfunded commitments on that?
Gary L. Crittenden: Yes. So we have a very careful process that allows us to go through and mark these securities based on what we think their valuations will be at the time they’re actually funded and we have to take those as we have market intelligence around them.
Operator: Our final question comes from Jeffery Harte - Sandler O’Neill & Partners L.P.
Jeffery Harte - Sandler O’Neill & Partners L.P.: We touched on this a little bit earlier. I just want to make sure I kind of caught the answer on it better when you talked about some of the deterioration in North American real estate. Can you draw any distinction on a 30,000 foot level between what you’re seeing in prime versus subprime?
Gary L. Crittenden: If you look at the lines, to use your term 30,000 foot, so if you look at the lines that are shown on our Slide 13 you’d walk away and in a more simplistic view would say “It looks like the 90-day delinquencies are improving in second mortgages and so gee maybe there is now a turn in that bucket,” whereas the prime mortgages have continued to accelerate. What is very difficult for us to sort out, and this is in a number of different parts of our business, is the impact of the stimulus checks in the course of the last quarter and a half or so and what is just happening in the underlying business. So you see the impact in the stimulus checks in terms of what is happening with card spending, you see it in terms of the delinquency in the card business, you see it potentially as it impacts this business as well, and because it’s difficult to ferret that out I don’t think we’re in a position to say “Gee, you actually do see some topping off of that number.” We could very well see an upturn in that number as we go into the third quarter as people have kind of gone through the stimulus checks that they have. And obviously the numbers that we have here around the losses for the high LTV category are still pretty high. The 3.5% as compared to the 1.75% is nearly a doubling and that category is an important category for us to focus on as opposed to just the average number overall. So I’m afraid there’s not any particular news for us in that. I was really just trying to draw the distinction about how you couldn’t simplistically generalize from 90-day past due into a reserve number and why we still had to be I think aggressive about our reserve building even in light of the fact that the 90-day past dues looked like they were moderating somewhat.
Jeffery Harte - Sandler O’Neill & Partners L.P.: A similar question, but can you observe any differentiation across products within that first mortgage portfolio? For instance are jumbos behaving better or worse than kind of standard prime versus Alt-A?
Gary L. Crittenden: I don’t have detailed information Jeff. We obviously don’t disclose it but I don’t have detailed information. The one thing that we have talked about in the past is that the channel has made a big difference for us and the mortgages that we have originated that have come from correspondent and broker channels have tended to be of lower quality and have had bigger losses than other categories of mortgages. But I don’t’ personally have a cut that reflects jumbo versus prime versus qualifying, that kind of thing. I don’t happen to have that in front of me. On the correspondent broker channel we did do an extensive break-out of that in our 10K at the end of the year and so you can get a very good feel for that. The other detailed break-out that we have done which also tends to correspond with losses that we’ve had as an organization is the break-out of mortgages where people voluntarily did not provide documentation in return for a higher interest rate. We talked about that in detail at the end of the first quarter, what our exposure was there and the role that that was playing in the mortgage losses. So those have tended to be the major themes that we have focused on, so the amount of documentation and the channel of distribution. Those have tended to be the areas where we have had the biggest losses and in prior quarters we’ve made pretty extensive disclosures about what our exposure is in each of those categories.
Jeffery Harte - Sandler O’Neill & Partners L.P.: The leveraged loans, the unfunded commitments, and I suppose maybe even to the funded that you’re holding, can you give us any kind of color on how much - specifically of the unfunded but I guess of the overall thing - maybe you’d call legacy kind of from the go-go days when credit quality standards weren’t as tight from say mid-2007 versus things you’ve been kind of putting on over the last few months when credit standards have become quite a bit tighter?
Gary L. Crittenden: It is essentially all legacy. Thank you all for listening today. If you have any questions regarding what has been discussed during the call, please reach out to Investor Relations. This concludes the call.
Operator: Ladies and Gentlemen, this does conclude Citi’s second quarter 2008 earnings review. You may now disconnect.